William Winters: Okay, good morning and good afternoon, everybody. I hope you are all hungry after that little bit of Singapore culture. I'm going to say a few things upfront, and then I'm going to hand over to Andy to go through the details of our 2020 results. I'll come back with a review of our strategic themes and a little bit of the way forward. So all in all, 2020 for us has been a tale of two sides really. On the one hand, we know that we had a strong start in the year. We had a relatively strong finish to the year in those areas that have begun their recovery. We know along the way that we had -- we absorbed the transitory impacts of higher credit costs, associated economic slowdown, which clearly led to a reduction in cross-border trade and investment and led to the higher credit provisioning, which was obviously very much focused in the first part of the year. We also had some structural -- those are all transitory, right, but we also had some structural challenges, though, and in particular lower interest rates, which we think is going to be with us for some time and then which clearly requires an ongoing recalibration of our business model, which we will be talking about in detail here. But overall, we demonstrated strong resilience. I think we are as convinced as ever the strategic path that we were on is one that makes sense, with good ongoing market share increases and better penetration and better customer service in our network businesses, where the network is as relevant as ever and in particular around the broadly defined China trading ecosystem. Our affluent client population continued to grow over the period, so 10% growth in the number of clients. And while we know that the earnings line itself is volatile with market sentiment, and we clearly had a downdraft during the peak of the COVID time, we're back to full strength in terms of growth in our key markets. We are going to talk a little bit about the mass market; and the things that we've been doing there, digitization, data analytics and otherwise. And I will go into some detail on our sustainability agenda, both the obligations that we feel that we have but also the tremendous opportunities. In line with everything, that as we execute this strategy, and we think there's good evidence that we're on track to execute the strategy, we can continue to grow our income with 5% to 7%. We can continue to do that with expenses running below inflation and we can do that in a disciplined way that is conservative vis-à-vis our capital position. And then we can get to that 10%-plus return on tangible equity in medium term. And we put out a 7% milestone along the way in three years, which is as far as I understand it where would you guys think likely that we're going to make, but it's I think we will see steady progress from the 3% we produced this year through to 10% in the medium term. And we'll give you some milestones along the way. With that, I'll hand over to Andy, and I'll come back with some more comments on the strategy later.
Andrew Halford: Good. Thank you very much, Bill and thank you all for joining. So just a few overview comments, and then I'll move into a little bit more detail on the slides that follow. So as Bill said, it does feel like it's a story in two parts. We came into the year off a pretty good trend of increasing the RoTE 1.5 percentage points a year. We had a strong first quarter, and then as we all know, COVID came in. And it had two particular consequences for us. One was the impact of interest rates on the top line, and the other was the impact on credit impairments. So if you look at the key numbers here. The operating income at $14.8 billion was down 2%, but that is the offset of some very strong performance, particularly in the financial products area -- Financial Markets area offsetting what were the significant downdrafts on interest. And I'll talk about both of those in a bit. Operating expenses, we've said, particularly at the time that COVID was starting to have an impact, that we would tightly control those. We have done that. Those are slightly down year-on-year. Credit impairment has doubled, but I think the testaments to the actions we've taken over the last several years to improve the quality of the balance sheet have really borne through. And the good news here is that 2/3 of that full year charge actually was in the first half, and the charges we took in the third and fourth quarter were pretty much the same. Again a bit more detail on those in a moment. Put those together, underlying profit was $2.5 billion, which was down 40%. We took some restructuring charges, some to do with the exit of legacy businesses, some to do with redundancy and we had the goodwill impairment from earlier in the year. So the RoTE full year 3%, halved from the previous year, very much impacted by COVID obviously. The CET1 ratio, however, at 14.4% was the highest we've had it for the good while. And off the back of that, as you will have seen today, we've announced the recommencement of dividend and the completion of the previous buyback program. So if we move on to Slide 6. This is showing the walk, on the top half, between our full year 2019 and full year 2020 income; and on the bottom half, the fourth quarter-on-fourth quarter comparisons. We have normalized it for currency and stripped out DVA, so this is a like-for-like comparison. So on the full year, we were down $400 million overall on income. And that on the right-hand side, you can see the interest rate-affected products obviously suffered, but on the left-hand side, we had a good performance in Financial Markets, Wealth Management; Financial Markets particularly on the rate side and, in the latter part of the year, on the credit and capital markets side. And Wealth Management, I think, is interesting. The second quarter-on-second quarter numbers were heavily backwards, but by the fourth quarter, fourth quarter-on-fourth quarter, we were about 5% up year-on-year, so the momentum on Wealth Management clearly picking up quite nicely. The fourth quarter, which did not get the benefit of the higher interest rates at any point in that, we saw the income come down 11%. If we move on to Slide 7 just to give a little bit more insight as to what happened on the interest rate effect, so quite a lot of numbers here. But on the top left you can see our gross yield over the year actually reduced by 100 basis points year-on-year. We managed to save about 70 basis points through reduction in the rates we pay, but nonetheless the average NIM full year came down by 31 basis points, which is about 19% overall for the year. In the middle chart, you can see the progression of that by quarter. And we have indicated that we would see it coming down to roughly where we came out in the fourth quarter, 1.24%. There's about 2 basis points of one-offs in there, but nonetheless actually the NIM has moved as we had predicted. And our view is that -- as we look forwards to 2021, that we would see the full year average being marginally below that fourth quarter level. If we then move on to the other income, so not the directly balance sheet interest-related income. This was 2% up year-on-year and is now 54% of our total income, so particularly important in a low interest rate environment that we are driving this. It was a performance that was helped by the strong first half performance, as you can see from the chart here and on the right, you can see it stripped, but the green is the net fees and commissions, those were down 10%. That's primarily in the corporate space. In blue, the net trading and other income was up 12% year-on-year, or 9% excluding DVA, and that was particularly benefiting from the strong Financial Markets performance. We move then on to Slide 9 just looking at the business by customer segment. The thematic here, unsurprisingly, is that those segments that have a higher proportion of their activity in the Financial Markets space and to some extent Wealth Management did better. And those that did not did less well. So Corporate & Institutional Banking, $7.2 billion of income, so pretty much half the group, had a -- I think, in the circumstance a very good year, 2% up on income. And at the same time, it controlled costs, which were 3% down, and also the impairment charges. Whilst we took impairment charges, 70% of those were in the first half, and actually, in the second half, they were much more moderated. Retail Banking is about 30% wealth management products, 70% retail products. So it got benefit on the former but largely the rate effect on the latter and hence why the top line was held back, albeit again we took costs out almost commensurate with that reduction in the income. And it was a year when we particularly focused upon digitalization and the push -- the Mox business and the push on nexus platform, which we will refer to later on. Commercial Banking has a much lower Financial Markets, makes -- it's only about quarter of its income, and hence the top line there was held back as a consequence of that. And Private Banking, again in the period when sort of face-to-face contact was more difficult during the earlier part of the year that made Private Banking more difficult. That having been said, our assets under management year-on-year is actually up by 9%. So on the Slide 10, this is the same comparison, but now looking at it by geographic region. You can see the biggest top line growth we got was Europe & Americas down bottom, again unsurprisingly, because it is a corporate business. And second biggest growth we got was in ASEAN & South Asia, which was up 4%. So whilst Singapore was impacted by rates, we had -- other countries in the region did particularly well. India, I think, was a particular standout, 26% increase in income and a fourfold increase in operating profit; Indonesia, up 16%; et cetera. So quite broad-based improvement in several of the markets in that region. Greater China & North Asia, 40% or so of total group income, $6 billion; again the big market Hong Kong held back by rates, but other markets in the region did very well and consistent with the sense that North Asia is pulling through this quicker. We had the Korean business, for instance, grows top line 9% and is now almost approaching $300 million of operating profit, a far cry from where it was a while ago. And we had strong performance in China as well. So the income in China was up 6%. And we're fast heading towards $1 billion of income from our business in China and hence the investments we continue to make there and into the Greater Bay Area. Africa & Middle East was a more difficult period, so essentially zero on the profit before tax, the income down 8%. The 8% actually belies a lot of the currency mix movement. So if you take currency out and do it on a constant currency basis, we were actually only down 3%. Relatively, the Middle East was more difficult with the impacts upon tourism and other things, whereas the African businesses actually were almost stable on a constant currency basis. So on Slide 11, we have got Central & other. Put simply, the story here is the vast majority of this is the treasury activity. And because of the reduction in interest rates, it reduced the yields we received in the treasury space. We offset some of that with cost reduction, but net-net, there was a $300 million to $500 million drag on the profit, depending upon the segment or the region view. In the segment view, there was also a slight impact of Bohai, where post the IPO we have a slightly lower stake in that business. And also because of the IPOs we flagged at the third quarter, we've actually booked 10 months of results in the 2020 year, whereas we will resume the full 12 months in 2021. On Slide 12, costs. So costs, we said at the time that COVID came in that we would take a firm grip on those. We referred to opportunities to reduce variable compensation, which we did. We referred to opportunities to reduce travel, while opportunities, those happened anyway, and travel costs came down obviously a lot. We said we would look at some elements of our investment spend. What actually happened was we decided that we should continue to spend on investments at the same level as we had done in the previous year. That put a little bit more costs into the fourth quarter, but that was very conscious decision to do that. Bill will refer to a lot of the things we are doing in this space, but our strong view is that, as we build for the period post COVID, it is absolutely vital that we have as many of these initiatives flowing as we possibly can do. We've said for 2021, previously, the aim is to keep costs on a constant currency basis down below $10 billion. And we've said that there will be some restructuring costs of about $0.5 billion over a period of time, some in 2021, to achieve that; some of that redundancy. Then some of that will be about space management and property costs. On Slide 13, impairments. So I mentioned earlier that the total impairment charge has just about doubled, so $2.3 billion for the year. In the middle chart, at the top, you can see the profiling by quarter. So the largest part occurred in the first half of the year, and in the latter two quarters, we've been fairly constant on P&L hit. I think the encouraging thing, and not that we're out of the woods yet on this, but it's the lead indicator. So on the bottom right chart, the blue line there is the trend on the early alerts, the ones that we keep an eye on, not yet a problem but could become one. And those, as you can see, are $3 billion lower than where they were at their peak. We have -- and I think this is included in the appendices. We have focused upon the sectors that are most vulnerable, aviation, et cetera. And the exposures in those actually have come down, again by about $3 billion, just quarter-on-quarter. We're tracking countries where people have been able to defer repayments the loans subject to relief. Those have also come down by $3 billion, and we're seeing the vast majority of customers recommencing with their previous payment profiles. And investment grade got up 20% since 2014. I think the actual numbers there are something like 42% of our book was investment grade in 2014. It's now 62%. And I think that is just really good evidence of the steps we have taken over the last several years having cushioned what could otherwise have been bigger flows in this space. So looking forward, I think the indicators here are of a positive nature, but clearly it's some way to run yet. Slide 14, risk-weighted assets and capital. So risk-weighted assets overall were up 2% for the year. So just under $5 billion. Obviously, that was helped by the disposal of Permata which gave us a $9 billion benefit. If you separate that out, we saw asset quality deterioration increasing the RWAs, an obvious consequence of COVID, but we saw a significant offset to that in asset mix. So quite a lot of the liquidity that we've got is now in our treasury space, ready to be deployed. And that tends to be lower risk weighted. Asset growth was good. And in fact, as you can see from the balance sheet, we had loans and advances increased 5% in the year. So the volume growth is clearly there, and that, we strongly believe, will continue. CET1 ratio of 14.4%, that includes 0.2% for the software quick fix which the PRA are having at look at, but other than that, we had the benefit from the Permata sale of about 50 basis points. And then the combined effect of the increase in the risk-weighted assets and the profit contribution got us to 14.4%, with the consequence that the dividend recommences and the buyback recommences. Slide 15, I think, is a really important chart. We had come into the 2020 year in a really good position. The strategy was paying off. You can see that the income was broadly within the range, that the expenses were increasing jaws and the RoTE was progressively improving and then to the early point, and as we all know, COVID came along. So that has set us back a period of time, but we really do hope that over a period going forward, as more and more columns get added back here, we'll start to see greens reappearing and look back as being, take a look at this period as being a sort of temporary dip in an otherwise longer-term strategy delivery. On Slide 16, the outlook for 2021. So first of all, we are very much of the view that the asset growth is out there and that we will continue to take that. And particularly, that will happen in Asia. However, the facts of the matter are that the interest rate impacts rolling fully through to book will reduce the NIM year-on-year. And when you put the volume and the NIM together, that is likely to be, at constant currency rate, a flattish year in 2021. But the underlying growth in assets, we see very much continuing. We've seen expenses, again constant currency, at about $10 billion or just below $10 billion. And we just put here the sort of indicator. If you take the FX rates at the end of December, then those would actually have increased both the income and the costs by about $0.4 billion. So we're usually fairly operating profit neutral on FX, but just to be clear that the numbers for next year, if these rates continue throughout this year, they will have that sort of consequence. We expect credit impairment pressures to be reducing, difficult to predict accurately how much, but we do see those coming down and then the reaffirmation of the 13% to 14% range and the full preparedness to return capital to be within that range. So last couple of slides, Slide 17, the overall financial framework. Bill will talk about where we are putting more focus up on, but broadly this is similar to the framework we've had before. We do believe it is working, albeit with a slight COVID-related delay, we do believe 5% to 7% income after the 2021 year is fully achievable. We are confident that we can keep expense growth down below rate of inflation; that we intend to operate, as I said, within the CET1 range. And we're all very clear that, to get the RoTE up, we need to work the E in RoTE. And finally, Slide 18 then is just the walk from where we were in 2020 on the RoTE to get to the 10%. As you would expect, some of this is coming from income, that growth rate there. There's more detail in the appendix, but we think with the underlying growth in the regions and the product set we have now got that we should be able to achieve that. If expenses grow below inflation, that hits below gross income so that gives us leverage there. Impairments, we're assuming that those normalize in the 35, 40 basis point area, as in a bit lower than where they are at the moment. The U.K. bank levy comes off this year. And as our profits grow, we'll see our effective tax rate slightly reduce over a period of time. We will keep RWA growth below the rate of asset growth. And then finally, on equity, we are above our target range getting into the range. And buybacks should give us some assistance also to deliver around that 10% ambition. So with that, let me hand back to Bill.
William Winters: Great, thanks, Andy. You see in the little schematic the four pillars of our strategy, to the left. Just the context against which we are looking at that strategy is pretty uniformly positive, whether it's GDP growth in Asia; the affluent population, both stock and flow growing; the revenue pool in mass market; and the -- both the challenges around sustainability, the challenges in our markets in particular, but also the opportunities. But the question that we get regularly is, "What makes you think you can do this? You've had this transformation for a while. Why do you think you can grow 5% to 7% in top line?" with the expense and capital profile that Andy just went through. The short answer is because that's what we've been doing, certainly up until the point of the pandemic, as Andy indicated in a slide a couple earlier, because we've done what we said we were going to do in each day. So we said we will clean up the balance sheet. Skepticism at the time. We did that very quickly. We said that we were going to reinvest and reposition our Financial Markets business for the current environment, and we've done that. I think we saw that very clearly in terms of our performance in 2020 and into 2021. We said that we were going to pursue an aggressive digitization agenda, and we've done that. We've now got best-in-class applications in the market, whether it's our digital bank in Hong Kong or many of the efforts that we've taken internally. So these are the -- we said we can do this while substantially increasing investments but also keeping expenses relatively flat, all right, precisely flat. We've done that. So we have a high degree of confidence that this team can execute against the things that we say that we can do. Unfortunately, we can't control pandemics or the level of interest rates, and that has clearly set us back. We acknowledge that. And that requires some fine tuning, which we'll go through as we discuss strategy, but this team remains confident that we can deliver on that medium-term objective that we've set. And we think we've got pretty good evidence to support that and an extremely attractive market backdrop. So if we move to Page 21. I'll take the strategy pillars in turn. First is our network strategy. This remains very consistent with what you've seen in the past. Now clearly there's been a change. We -- the 0 interest rate or the low interest rate environment has taken a pretty healthy dose out of our cash management business and other deposit-sensitive businesses. The flip side is market volatility and the quest for yield, I mean. So it's not just the volatility that's buoyed our Financial Markets business. It's also the fact that investors are increasingly shifting to markets that, one, are growing; two, are looking stronger; and three, in many cases still have some yield. And we're very well positioned, as we grow our credit business, to pick up that yield seeking in our markets where we have a clear competitive advantage. The network business is over 2/3 of our corporate business. It's continues to generate very strong returns. We've got a well-diversified portfolio of products and services. And that means that, through different market environments as we look over the next 3 to 5, 7 years, we would expect there to be secular growth in this business but also rotations from one part to the other as economic conditions warrant. Along the way, we'll be investing heavily and continue to focus on these low-returning client relationships; continuing to focus on building our non-financing income line, particularly important in a -- in this low rate environment; and then very importantly, focusing on establishing a best-in-class set of capabilities around our connectivity in terms of digital agenda vis-à-vis our corporate clients alone or in some cases with partners, especially as we build out our supply chain financing business. So if we move on to the affluent strategy, Page 22. We have an excellently positioned affluent client business. We've invested heavily in both products and customer service over the past five years. We now have best-in-class designation in six of our top markets, six out of seven, to be precise. That is measured by Net Promoter Score but also by separate surveys that we've done to judge our customer satisfaction with our products and services. So we know that this is a high-returning business for us. We know that it's grown secularly. So independent of our efforts over the past 10 years, we know that we've matched market growth. And we think that we can actually continue to match or exceed market growth against a very, very attractive underlying dynamic. So we will continue to focus on this affluent client segment in everything that we do. If we move to the next page, Page 23. The -- we're not going to talk so much about the mass market business. The mass market business has in -- for years at Standard Chartered has been a laggard. We haven't invested in it materially. We had credit problems. If we went back to the early part of the last decade, into the middle part of the last decade, we had a series of accidents in different markets, which I think undermined our confidence that we could execute a credit-led mass market strategy effectively. In the meantime, now what we've done is to invest heavily in two things. First is data analytics to significantly improve the quality of our credit decisioning, but also the focused nature of our marketing. And second is to invest in digitization. So we now have an operation that's getting closer to, I will say, normal or industry benchmarks in terms of our end-to-end costs to serve, where we've got completely digital operations. So for example, our digital banks in Africa or in the recently launched Mox bank in Hong Kong. We've got -- we're at the lower end of the cost ratio in terms of the costs of on-boarding clients and the costs of ongoing services. So we've got more to do in terms of creating a truly seamless end-to-end flow, but we're now in a position to scale that business both on the lending side as well as on the servicing side using digital tools, leveraging these data analytics capabilities. We'll do that on our own in the core bank. We'll do that through partners as we have with our digital banks in Hong Kong and Indonesia with our nexus program, banking as a service model in Singapore as we roll out a digital bank there. And so that combination of operating alone with an aggressive digitization and data-driven agenda and in partnership will get us some growth, and that growth will be profitable, so this will be a contributor to our 10% RoTE progression in the coming years. If we move on to the sustainability agenda. Again, you've heard us talk about sustainability for years. I think we've been a thought leader in sustainability for the very simple reason the markets where we operate will be the most impacted, or we are the most impacted, by climate change. So the risk is greatest in our markets, but also the need and the opportunity to transition to a net 0 economy is the greatest in our markets. So the impact that we can have by providing transition financing to the companies and countries in our footwork -- in our footprint will have a more material impact than a similar number of dollars spent anywhere else in the world where the sustainability agenda is already more advanced. So there are risks on the sustainability front. i.e., our markets will be more impacted. There's tremendous opportunities, all right, $75 billion of financing required to meet the sustainable development goals over the next 10 years. Only 10% of that is funded in our emerging markets, all right? The remainder has to be found. Our very, very strong project finance capabilities and sustainable finance in particular put us in an excellent position to earn $1 billion dollars of income and growing. And this will be a business line that will grow for some time, and we're matching that with our own internal commitments. We've been very clear that we will achieve a net zero position for Standard Chartered Bank, including financed commissions, by 2050. We're very clear that the requirement to make significant progress against that objective is one that we have undertaken significant progress by 2030. The actions that we've taken over the past three, four, five years in terms of exiting any business financing coal-fired power plants or coal production is -- I think, was market leading, continues to be market leading. We've continued to add to that by making clear that our clients will need to have their own transition plans to net zero by 2050 and that they will need to demonstrate significant progress by 2030 and we're there to help them do that. So there's both a bit of a stick, but much more importantly there's a carrot, all right? Because I think what we're seeing more is our clients want to and feel they need to make this transition, and they're leaning on us to provide that help and we're in an excellent position to do that. So if we can move on to the underlying sets of skills and capabilities that will be necessary for us to deliver on those four strategic pillars. These are, we call them internally, our enablers. First is innovation. We have a great record, a recent track record in innovation. It's inside the bank. So we have an entrepreneurial program where we solicit ideas from our colleagues and ask them to effectively compete for support and funding. We've had 2,300 ideas, 2,300 ideas. We've got a coaching and approval funnel that have narrowed that down to dozens now of ventures that have been funded internally, some of which are reaching the point of commercialization and real income. But more importantly, it's changing the mindset in the organization around innovation. It's in a point where we -- when we look at our plans over the next five years or so, we think we can generate $5 billion, so it is half of our income, from things -- or activities or ways of doing business that are fundamentally different than what we're doing today. So it's a very exciting prospect for all of us, but this also manifests itself in a number of ventures which are discrete. Starting with Mox, our digital bank in Hong Kong, which has been -- which is market leading in the Hong Kong market, we now have almost 3% of the population of Hong Kong has signed up for a Mox account. The vast majority of those have actually funded the account and are using it. The app store ratings have continued to be at the top of the tier and amongst the very best in the world. So one has to say Standard Chartered knows how to build digital applications, and we know how to build digital businesses. Our African digital banks, well, clearly a leader in digital banking across the African continent, evidences to us that it's not all about getting the latest and sexiest technology but rather having something that's appropriate for the market and delivered in a timely way, but it goes on from there. We've now announced the launch of our Nexus platform in Indonesia. This is the -- I think, the first truly scaled banking as a service model coming out of a large bank, where we will be delivering a full range of banking products to our Indonesian or to Indonesian customers via e-commerce platforms. First partner is Bukalapak, who's up with 100 million customers in Indonesia, very, very exciting proposition. As that -- we're in advanced testing now. As that rolls out, we'll look at how we can roll that out to other markets, but it goes on and on. We are a leader in digital assets. We've announced the launch of Zodia, which is a digital asset custodian, doing this together with Northern Trust. And Northern Trust is coming to take a small stake on the back of something that we built at Standard Chartered. The opportunity is to capitalize on a market at infancy. And I will say that, in terms of institutional interest in digital assets, the market is at its infancy. The opportunity to take a leading position there is very exciting for all of us at Standard Chartered. And the list goes on. If we move to Page 26. The -- this can only be driven by the people and by the ways that we work. So we've had a fundamental program, Andy has referred to it regularly, around our new ways of working. This is a fundamentally client-focused end-to-end approach. Without the productivity gains that we have already generated through our new ways of working but, more importantly, we'll generate in the years to come, we can't maintain the high investment pace that we have been undertaking while at the same time keeping expenses well below our income growth. So this is a way of working, again, something that I think is familiar across the industry. At Standard Chartered, we're actually doing it and it's making a difference. And it is what's allowing us to achieve the -- to make the strides that we have. Finally, if we move to the next of our key enablers, which is people. The -- we focus very heavily on developing our people. We've changed our incentive mechanisms to incentivize the kind of behavior that we talk about today, whether that's innovation or new ways of working, agile, leadership skills, in addition to coping with the sorts of things that we had to deal with in 2020 in terms of flexible working and the like. The results of a lot of that re-skilling has been a much better qualified workforce for what we're trying to do. Obviously, prepared to hire externally to fill those gaps, and we continue to be an attractive hirer. So if people want to work for Standard Chartered -- very, very importantly, but it's also meant that as -- we inevitably have roles that go away as we automate. And we've been able to reposition those colleagues, as a result of being re-skilled, inside the organization. So I think, as we look at the ongoing automation, we should be able to place somewhere between 25% and 50% of our colleagues internally, obviously, from a financial perspective, avoiding some of the restructuring costs but, more importantly, offering career options to colleagues, which becomes a big draw for people into Standard Chartered banks. So if I can just wrap up quickly on Page 28. We are fundamentally a purpose-led organization. I think everybody will say that, especially since some large investors said they have been calling for every organization to be purpose led. We have been purpose led for some time. Our purpose of driving commerce and prosperity through our unique diversity very much informs our strategy. It informs the way that we focus on our business. It has for -- certainly for my time at Standard Chartered; and it will, no doubt, for years to come. What we've talked about, though, is how we can take this purpose; and go beyond the 1-year budget or the three-year, five-year corporate plan or strategic plan; and turn that into a set of aspirations that can take us outside of our comfort zone fundamentally and get us to the position where we can make material contributions to the societies in which we operate, which will in turn improve our financial performance structurally and over the long term. And you'll hear more and more from us about the three broad buckets of aspirations that we are setting out. First is in and around the agenda to reset globalization, all right? Globalization, dirty words, everybody hates it because it had terrible economic and political consequences over the past several years, all of which is correct. And globalization has also lifted millions of people out of poverty and can continue to and in fact is continuing to in many of our markets, but it needs to be reset to be fair and equitable across all the stakeholders in the global economy. Standard Chartered is in a very strong position through our global network to -- both on our wholesale and retail side to deliver a set of products and services and ideas that can help the world to reset globalization, get the benefits while addressing some of the underlying challenges. Second is lifting participation in the financial economy. We recognize that the bulk of growth in many of our markets comes from small businesses, but small businesses are structurally underbanked in many of our markets. The opportunity for us to step up with our very sophisticated corporate lending approach, as well as our very well-established retail position on the ground, should allow us to finance small businesses to a far greater degree. We will have a particular focus on lifting the participation of women in the financial economy. Why? One, they're underrepresented today. They're underbanked today. In many markets, they are the economic driver and the most untapped resource that's available to us. So we will focus more and more on how we can get to hundreds of millions of people, with a disproportionate share of women. And third and finally is sustainability; sustainability, as I've talked about already, both in terms of the obligations we have but also the opportunities that we have. And we will be coming back with a series of aspirational goals for how we can transform our global climate agenda into 2050 and -- but obviously with a very important progress along the way. So can we do this at Standard Chartered? Can we get to this 10%-plus return on tangible equity? Yes. We have absolutely no doubt that we can, a little bit faster if we get that bump in interest rates that seems lucid right now, but otherwise we're on track and the strategy is delivering. The performance in 2020 and into the early part of 2021 supports that confidence. And with that, I would like to hand it back to the moderator to take some questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line from Ronit Ghose from Citigroup. Your line is open.
Ronit Ghose: Great, thank you. Good morning, good afternoon Bill and Andy. A couple of questions, please, one on the Financial Markets performance in Q1 that you call out; and a second one, on capital return, please. So on Financial Markets, you've called out a good start to the year. Could you just give us a bit more color, please, in terms of is this -- which parts of Asia is this being driven by? Is this mainly FX or is it also rates, steeping of the yield curve helping? Any further color on that will be awesome. And the second question is on capital return. The sort of buyback and dividend split for -- and as you've just announced, is almost 50-50. And I understand why because of last year's buyback being completed. Is there any kind of -- I mean thinking ahead for the next couple years, given where the share price is and the price to book, obviously buyback is super accretive, should we assume quite a high mix of buybacks in the coming years or should I not read too much into the current sort of buyback, divvy announcement? And just to follow on, on that, so how much scope do you have for a sort of follow-on buyback post stress test later in the year after the U.K. stress test?
William Winters: Great, thanks, Ronit. I'll take a stab at the FM question, and then Andy will pick up on the capital return. So the trend for our Financial Markets business over the past three [ph] years has been a strong investment in our local market capabilities. The most -- let's say the stand-out performer during that period has been everything around China and the RMB. We are, I'll say, a or the leading bank in terms of cross-border payments and associated FX flows in China. That's been a, it's been a key driver of our overall CIB income, that broad theme, and has been a key driver of our Financial Markets income as well. So the step-up in China is -- has been exceptional. Of course, we're very differentiated in South Asia and in Africa as well, which has also been an important contributor. And that's across rates and FX and credit. The area where we're probably furthest behind historically has been on the credit side. So we've -- we had a relatively undeveloped credit origination and credit distribution set of capabilities and we've been building that out. I will say that we've gone from being substantially subscale in terms of the credit flow to being okay. Now that's a good improvement, so yes, thumbs up to the team, but we have much further that we can go. And as I mentioned in my opening comments, the context where global investors are getting more and more comfortable with the markets where we operate and thirstier and thirstier for yield should position us very well to have an ever more balanced business between rates, FX and the broader capital markets/credit dimension. Andy?
Andrew Halford: Yes. So on the capital returns, as you've seen today, we've sort of gone 50-50, not that we designed to be 50-50, but we are completing the preexisting share buyback and then the rest coming back by way of dividend. I think it's fair to say in our minds, and you implied this in your question or said in your question, that with the share price being by historic standards very low, that the attractions of buyback are pretty strong. And therefore, sort of the lower the share price, the more, I guess, our minds will be focused upon having buybacks in as a reasonably significant part of the overall returns profile going forwards. The dividend set at the level it's at, at the moment: We know most people would like to get predictability about dividends going forwards. It sets us at a sort of modest base which we should be able to increase over time. So I think you'll see some of both as we go forwards and -- but particularly with an eye to buyback whilst the price of the shares is low. Post the stress test, let's wait and see where we get to. What we have said very clearly today is that we do not intend to be sitting above the 13% to 14% range unnecessarily. And if we have got profitable ways to deploy excess capital, we will go after profitable ways to use it. To the extent we haven't, then we are very comfortable being within that 13% to 14% range, obviously subject to director approval, but over a period of time, we do understand with getting the RoTE up, as I said earlier, it is important we get the equity down, and therefore we will not. And I think our track record over the last two to three years has been witness to this. We are not shy of returning capital where we can sensibly afford to do so.
Ronit Ghose: Thanks guys.
Operator: Thank you. The next question comes from the line from Nick Lord from Morgan Stanley. Your line is open.
Nick Lord: Thanks very much and thank you for taking my question. And I just want to question Bill a little bit more on what he was saying on the mass affluent strategy. Just could you give us a little bit more on sort of what markets you're thinking of, geographic markets, in terms of attacking; what sort of products you'd be using? And how important are those sort of partnerships for this, let's say, expansion? And are you mainly thinking of branding it through partnerships? Are you using Mox a bit more in the branding, or is it traditional Standard Chartered branding? And then just finally on that, if you could maybe talk about what sort of income levels you're thinking targeting. Are you thinking of moving right down the income scale, or are you going to stay sort of mid in that?
William Winters: Great. Thanks for the question. The markets we will focus on are will be our core markets. So obviously Mox is targeted at Hong Kong. Interestingly, in Hong Kong, well, it's our biggest business. It's profitable, et cetera. And we only have about a 2% market share in the mass market, whereas we have a double-digit market share in the affluent market. We're extremely happy with our affluent market position and we'll continue to invest and grow in that, but Mox was -- is targeting both the younger population, where we were also underweight, and that mass market. And I must say the reception has been extremely positive and which means that we should be able to establish a very important toehold in that mass market segment in Hong Kong, in addition to what we had in -- have in Standard Chartered Bank itself. And that's why we'll build for two reasons. One is we think it will be profitable on its own right. And second, of course, it's a feeder into the -- today's millennial mass market participants will be tomorrow's affluent as they accumulate savings over time, so we're building our pipeline for the future within Mox and but then also back in Standard Chartered Bank. We would hope to -- regulatory permissions forthcoming, to have a similar sort of partnership-based model in Singapore over the course of this year. You noted, noticed that we've been given a status as a significantly rooted foreign bank, and with that comes an entitlement to a second bank license. So I would hope that we could get to the point where we've got a digital bank in Singapore that's modeled much on the Mox basis. In Mox, we're partnered with Hong Kong tel, FWT [ph] and Trip.com. And perhaps a similar structure makes sense in Singapore as well. In Africa, we've gone under our own bet. So we're using existing Standard Chartered infrastructure that was structured to be completely digital end to end so the partnerships are more tactical, so very important partnerships with telcos. We've got some really interesting arrangements with Airtel, Orange and Vodafone in different markets, the 3 big mobile carriers, but continue to build that partnership model. nexus in Indonesia is -- obviously we had a mass market stake in Indonesia through Permata. When we sold that, we were left with quite a small mass market business, in fact quite a small retail business, in Indonesia. The opportunity to get to -- get access to 100 million customers in partnership with Bukalapak and then with other social media platforms is very exciting. So in those markets, the partnership dimension, where we're using the partner as a fundamental distributor for our products, is extremely important. So I think we're -- we can -- we'll cover the spectrum in terms of the structure of our entry into the mass market products. Obviously, it starts with deposits and payment products and we'll quickly move into credit products in each case. And clearly, that's where a lot of the opportunity for growth in returns come from, must be done safely. So we've done an extensive amount of experimenting and learning and in terms of using our data both from our own sources but also from third-party sources. So obviously offering a credit product in Indonesia through the Bukalapakan [ph] platform with the Bukalapakan data, e-commerce data, is extremely powerful, but it's also relatively new. So we'll be cautious in terms of how we roll that out, but we think that the opportunity is very substantial. And in terms of target range, the natural place for us to be will be at the top and the middle elements of the mass market. This isn't by construct a financial inclusion play, although I will say that, once we've got the digital operations up and running entirely mobile phone-based and being very, very accessible and then especially as we get into the distribution through mass markets distribution platforms like Bukalapak or others in other markets, the opportunity to get closer or into financial inclusion will be there, but we'll do that in a very prudent way.
Nick Lord: Thank you very much. Thank you.
Operator: Thank you. Your next question comes from the line from Tom Rayner from Numis. Your line is open.
Thomas Rayner: Yes, good morning. Yes, two questions from me, please. Firstly, on the sort of shape of revenue as we go through 2021, you're indicating obviously flattish on a constant currency basis for the full year but down, yes, in the first half and recovering in the second half. I wonder if you could give us an idea on what the annualized pace of revenue growth you're expecting by the end of 2021, please? My second question is on the RoTE guidance of at least 7% by 2023. I mean obviously you will have done some fairly detailed modeling of alternative outcomes here. I wonder if you could give us an indication on, at the sort of 7%, the bottom end of the RoTE range, if you like, where you're pitching revenue within the 5% to 7% impairments within the 35 to 40 and where you're sort of modeling the equity Tier 1 ratio to be within your 13% to 14% range. So can we just get a bit of an idea about sort of what is built into that 7% assumption?
Andrew Halford: Yes. Okay, Tom. So let me take those in order [indiscernible] shape of revenue. And I think the important thing, which I'm sure most of you appreciate, is that we've sort of got 2 things going on in 2021. One is the underlying asset growth has been strong. Loans and advances were up 5% last year; and if anything, economies picking up. That should be at least of that run rate going into this year. So that side of it, I think, should be running pretty strong. What we are working against, however, is the interest rate impacts upon the NIM. So the chart that I showed on interest rates: I think, for the first quarter, particularly last year, we have delivered 1.52%. And if we're talking about a number that's a shade below 1.24% this time around, then you can sort of work the numbers out. The second quarter becomes more normalized. We were 1.28% last year. Well, there's a little bit to give there. And then the second half of the year should be fairly close on the NIM from last year. So I think, to help your sort of modeling, if you look at a volume growth that's more progressive and you just actually phase that NIM change in, you'll get fairly close to the numbers that we were talking about. And obviously as we have highlighted, the guidance was on a constant currency basis, but if you applied more up-to-date currency, you would put about $0.4 billion on the income and $0.4 billion on the costs. In terms of what is implied in getting to the 7% RoTE in 2023. I'm sure that you will be modeling this and there will be various iterations around the theme, but I think, if you take something around the midpoint of the 5% to 7% income range, if you work on the basis that expenses will be $10 billion in 2021 and a little bit of inflation in the couple of years thereafter but we would see the credit impairment moderating towards that 35%, 40%, but obviously there will be a period before it can get to that, dot, dot, dot, you get to -- sorry. I should add also an assumption that the CET1 is in the range -- or the middle of range maybe rather than sitting at or above the top of the range, then you get pretty much to the 7% number. And you will work out this implied returns number in there of, I don't know, $2.5 billion, $3 billion or something, [where it] depends on exactly how you model it, over that period of time. So I think directionally that paints the shape of how that sort of 7% construct should work. And I personally think each of the component parts of that is perfectly achievable. Growth is there in the markets. Interest rates are holding us back, but the growth is there, the cost controls, credit impairment. Well, time will tell, but the indicators at the moment look pretty reasonable and obviously capital as we moves forward. At the moment, we've got -- the regulators obviously are careful on that front, but I think, as we move through COVID, that the sort of coincidence of what we as a management feel is prudent to what regulators are comfortable with. I think those two should align.
Thomas Rayner: Okay, thank you very much for that. Just a very final, quick follow-up, if I may. The 5% to 7% is -- I know it is a CAGR, but I mean I take it that does imply that your modeling for '22 will be a minimum of 5%. It's not like it, so you might be expecting much stronger revenue further out to get you there.
Andrew Halford: Yes. I think that is a fair assumption. I think we're getting to it as an average, but we are going to be have to hitting it as quickly as we can do. We prefer to be hitting it in the nearer term, but realistically, for the reasons that go into that, it will be more challenging. But yes, I think that's a reasonable assumption.
Thomas Rayner: Thank you.
Operator: Thank you. The next question comes from the line from Manus Costello from Autonomous. Your line is open.
Manus Costello: Good morning, everyone. Just following up on the 7% point, an investor pointed out to me this morning that your 7% RoTE target is the same as that set by Commerzbank earlier this month, but I think most people will agree that Commerz faces a tougher domestic outlook than you should in your local markets. So the question that arises from that is, at a fundamental level, what is it that's constraining your returns relative to peers, do you think? They're also dealing with the low rate environment that you talk about. And if you haven't been able to drive it beyond this 7% level in an acceptable time frame, why have you decided against taking any bolder steps to improve that RoTE more quickly?
William Winters: That is -- thanks for the question, Manus. Well, that is sort of the big question and I think we're going answer it in a few parts and I know Andy will have comments as well. Yes, when we got a similar question three years back, the -- in particular around bold steps, the suggestion was that we abandoned markets. And you've talked about India, Indonesia, Korea, UAE being big drags on your returns. Why are you still there if this is such a big drag? We resisted the temptation to exit. In fact, we have done the opposite, which is to focus very much on how we can improve those markets and we had a dramatic improvement last year. And we had a further dramatic improvement this year, right, 34% increase in operating profits after provisions, all right? And these are markets that had a rough run this year. We have, as Andy mentioned, substantial income growth in India. We could throw China in there as well, which had a stellar year in 2020. So these markets that have been big drags on our RoTE have -- are actually now into -- solidly into the profit zone and are growing very, very nicely. So that's hence the resistance of the temptation just to start hacking the strategy to pieces in order to hit financial targets that we think are much better achieved and achievable through a different route. The -- maybe taking the question from the other side. The -- we know that we have a returns model that's very leveraged, all right? We've got a relatively high expense base that's measured by our cost-income ratio relative to peers and outright. And we know that the way to get substantially improved returns is our income growing faster than our expenses. We were unable to do that in 2020 for obvious reasons and reasons that we've explained. We don't think we'll make tremendous progress in 2021 for the same reasons, but we think we have -- starting in 2022, we get back to that substantially positive jaws that has characterized -- as Andy pointed out in the slides, that has characterized our business over the last several quarters pre pandemic. And if you believe that we can deliver on the income agenda and you believe that we can deliver on the expense agenda, then that 10% comes strongly into line. I think I -- mathematically, 7% is someplace between 3% and 10%, so we -- you can pick which point along the way you want to say you're going to cross 7%, but we will cross it. So that's I'm obviously not going to comment on Commerzbank. I have no idea what their strategy or plan is relative to ours, but I do know, for us, we've evidenced over the past several years that we can generate this growth. We've evidenced that we can do it in a controlled way both in terms of expenses and capital. We've demonstrated that we can turn-around big markets and do that in a fundamental and sustainable way. And we've repositioned the bank fundamentally around these strategic pillars, including having a strong digital operation and repositioning our capabilities in growth markets. So it was a big question. It is a big question and I suspect it will remain a big question for some time, but I think the evidence that we can deliver is -- will become irrefutable over time. Andy?
Andrew Halford: I would only add to that, that if you look back 2015, we were minus 0.5% for RoTE. We were 6.5% a year ago. We've gone up 7 percentage points in four years. We were on a good trend. The strategy was paying off. If you take what happened to us in 2020, you look at the impacts of the NIM on the interest line, you look at the credit impairments relative to what they might otherwise have been, I don't think it's too difficult to get to the thick end of the 4 percentage point that we have taken on the RoTE in that year as a consequence of COVID. Now some of that is credit impairment, which I do hope will unwind itself, and therefore that will give us the benefit. The interest rate, I think, is the wild card. The forecast we have given you has a very modest assumption of interest rates over a period of time. If we were to see more of a pickup over that period, and 3 years out is obviously quite a long time, then to the point that Bill has made for sort of leverage on our operating cost base, it will come through very quickly from top line to bottom line. So I do think we are doing the right things. I do think the markets that were a drag for us, Korea -- and particularly Korea lost $200 million five years ago. It's now making $300 million. India, quadrupling of profits. The area where we have put focus on, there really has been improvement. I think we just need to give this, frustrating as it is, a little bit of time to work through the after effects of COVID, but I think many of the things within the business are working well. And I would hope that, in a year's time, we're sitting here with a pretty confident sort of set of numbers and saying we are now looking at pure growth ahead of us, not an interest-held-back rate of growth.
Manus Costello: Okay, thank you very much. So just to follow up on a comment you made there, Andy, you said you are assuming rate rises through the period. Could you give us the detail of what you're looking at there, please?
Andrew Halford: Yes. I think, in the -- I can't remember whether it's actually on the chart or not, but there's about 30 basis points over a three to four-year period that's factored in. It's on the very, very modest end of the range.
Manus Costello: Got it, thank you very much guys.
Operator: Thank you. The next question comes from the line from Guy Stebbings from Exane BNP Paribas. Your line is open.
Guy Stebbings: Good morning, good afternoon everyone. Thanks for taking the questions. The first one was on RWA. So the $15 billion increase from asset quality deterioration in 2021. I'm just wondering whether you think that's kind of the bulk of the negative credit migration or whether you expect to see a smaller component still coming through again in 2022. And as we look further ahead, I presume we should be thinking about sort of low single-digit per-annum growth just coming from the loan book growth, perhaps a tiny bit of negative credit migration. You talked to circa 5% Basel headwinds, plus the currency headwind as things stand. I'm just wondering if that sort of points to an RWA base by the end of 2022 -- 2023, sorry, somewhat north of $310 billion. Just wondering if that sort of sounds reasonable. Or is there more optimization you can do or maybe a reversal in the negative credit migration by that point in time to bring it back down nearer to consensus which I think is just a shade over $300 billion? And then just a quick question on restructuring charges. I think you've phrased that $0.5 billion mainly to be taken in 2021. I'm just wondering how many years to spread that over. Is that sort of $300 million, $400 million in 2021; and then it drops down to $200 million? And maybe that's a sort of sensible run rate thereafter. Any sort of guidance there would be very useful.
Andrew Halford: Yes. So let me take those. The RWAs, the $15 billion we saw in 2020, logic would say that is a pretty high-tide mark. It was a year when a lot of things changed very dramatically. And I will think on an underlying basis that, whilst we will see some adverse movement, I think it will be much lower than that in 2021. What we will also be doing is focusing clearly upon the mix of the assets that we have got. And in the knowledge that loans that are higher rated obviously are going to be in low returns, we will be working very actively the lower-returning risk-weighted asset relationships during the course of the year. It's difficult to sort of just -- I mean it's simple to say yes to your question of will it be low single digit, but it does depend upon what natural growth there is out there. And if there is profitable growth on the asset side, I would hate to have the RWAs constraining it. So I think probably the better way to look at it is probably that we would aim to try to keep the rate of growth in the RWAs down below the rate of asset growth. And then that will enable some flexing according to how much activity is out there. So whether that gets you to $310 billion or something of that order, it depends a little bit upon your growth assumptions. On the restructuring, I'll think of that as sort of a three-year period, something of that sort of ilk, with probably a weighting more towards the first year. We do want to press on with a number of the property-related sort of initiatives because obviously the timing is right now, before everybody returns back, that we establish sort of new ways of working as being the norm going forwards. There will be some redundancy costs, but then we've had some redundancy costs for a period of time. And as we re-skill the business whilst we will try to redeploy as much as we can do, inevitably there will be some which is not achievable through redeployment per se, but I will think of it as sort of being three years or thereabouts with a front-end loading.
Guy Stebbings: Thank you.
Operator: Thank you. The next question comes from the line from Aman Rakkar from Barclays. Your line is open.
Aman Rakkar: Thanks, good morning, good afternoon and Bill and Andy, thanks for taking my questions. Can I just come back to the income guidance for 2021 and more so about noninterest income? Just interested in to what extent you think -- kind of what's your assumption around Financial Markets revenue in 2021? Do you see that being down year-on-year? Kind of what are the assumptions that have gone into that? To what extent have you benefited from a buoyant market backdrop versus the market share gains that you think that business can deliver? Secondly would be around Wealth Management. So I note that you say that the wealth ex bancassurance, I think, was up 14%. I think it implies the rest of Wealth Management was actually down a decent chunk in 2020, presumably as a result of the lockdowns and the lack of face-to-face interaction in your key markets. So could I ask you, if you were to estimate how much kind of lost revenue Wealth Management incurred, I mean, how much revenue did you miss out on in 2020 from lockdowns and lack of face to face? I'm just trying to think of what you might hope to reclaim as things open up this year. And I guess the final one was on your excess liquidity position because I know your ADR is very, very low, 61%. And your loan-to-deposit ratio is 64%. Presumably you've got a lot of high-quality, low-yielding assets. Is there a temptation or is there an opportunity for you guys to kind of invest that, deploy that and benefit from some of the steepening of the yield curve that you've seen in some of the U.S. markets? Is there any reason why you wouldn't do that? And is any of that kind of captured in your income guidance? Thank you.
Andrew Halford: Okay, let me try and pick those up. So Financial Markets clearly did have a good year last year. We are sincerely hoping, and we're targeting the team, they will replicate that performance overall again this year. The exact shape of it may change a bit. The events that lead up to it may change a bit, but we do believe there will still be volatility there. We do believe, as Bill has said, that the engine is running more strongly now; and that actually the sort of product range that we have got, the capability we've got there is as good as we have had that certainly in the last several years. So we will very much be hoping that Financial Markets income overall will be up with what happened in 2020. Wealth Management, and you can sort of cut it in different directions: We found the second quarter very tough. And as you say, face-to-face contact was very difficult during that period of time. What I think has happened since then, two or three things. One, confidence has come back, particularly the equity markets rising and therefore clients being more prepared to get back into wealth products. Secondly, we have availed ourselves far more of normal face-to-face contact. And we have improved the digital capabilities, and I think people are progressively getting more used to that and then actually more comfortable with that. As I said earlier, I think the overall Wealth Management was down probably about 15% or so in the second quarter, but by the fourth quarter, actually we were up 5% on the fourth quarter a year ago. So I do think the trend there is looking good. And in January, certainly on both actually Financial Markets and Wealth Management, we had a strong performance. On the excess liquidity. The story last year really, and I'm sure we're not the only ones who say this, was there was a lot of liquidity out there. We managed to improve the mix of the liabilities that we have got quite significantly during the year. We have deployed some of those commercially, but some of those are sitting with the treasury books. And those are fully capable of being deployed, so the encouragement to the commercial team is actually to find opportunities out there. Obviously, we make more money when we are lending it commercially than having it sitting in the center. And therefore, I think the sort of shape of the balance sheet within the overall numbers will be interesting to watch as we go through the course of this year.
Aman Rakkar: Just a quick follow-up on that then. Do you have any exposure to the kind of five, 10-year part of the U.S. curve where you've seen the steepening in recent weeks? Is that something we should think about being a positive or is it not?
Andrew Halford: It is a small part of the portfolio, and obviously we are not offering [ph] it very closely as we go through. And that may give us a little bit of upside as we move forwards.
William Winters: Right. Just I guess, I mean, the obvious will be we monetized quite a bit of the gain last year. So that's evident. There were still some gains left in the portfolio. And some of that was duration but much, much later than it was a year ago.
Aman Rakkar: Okay, thank you.
Operator: Thank you. Your next question comes from the line from Fahed Kunwar from Redburn. Your line is open.
Fahed Kunwar: Hi, good morning, good afternoon everyone. Thanks for taking my questions. Just a couple, just one was on the confidence of NIM stability for -- at kind of Q4 levels. I know we're talking about the shape of it being a bit different, but one of your peers was talking about commercial asset repricing. Are you seeing anything similar sort of repricing activity in the commercial book in the kind of Asia Pacific region? My second question was just kind of back on that 7% RoTE versus peers. I guess one of the things that's confusing is you've got a very low loan-to-deposit ratio but a very high funding cost versus peers. And there was an optimization program, which it feels that it's run its course. Is there not more you can do on the liquidity management side to drive returns higher? But I would have thought, as rates fell, that higher funding cost would have been an advantage, but in the end, I guess that didn't really help too much. And the reason I ask the question is one of the things that gets pushed back a lot really is that it's evidence that you've got to sort of franchise across too many countries. So how are you thinking about that liquidity management and that high funding cost?
William Winters: Maybe on the corporate repricing, I think the short answer is no. We're not seeing wholesale repricing. I think we saw a very sort of consistent margin compression going into the pandemic. We saw a -- certainly a bit of an improvement in liability margins as we got into the pandemic period and coming out at the very high-quality end of the spectrum. We're seeing repricing, but that's not the bulk of our book. Now we should be able to offset the underlying margin compression in the corporate book due to ongoing mix shifts. So I -- clearly we're in a position to distribute much more of the lower-margin -- or higher-quality credit risk in our portfolio. And our balance sheet will be focused on things where we can have some of the value. We should have a little bit, let's say, incremental return. So we don't see a structural challenge coming from ongoing corporate repricing when we look at volume times margin.
Andrew Halford: Yes. On the 7% sort of number, I guess for part of last year, we were very happy to gather liabilities just because of the unpredictability of what was happening out in the market. As we got to back end of the year, clearly we have built up a -- more quality liabilities. And the mix change in that has improved a lot, and therefore the focus is now much more upon how we monetize that by way of lending on the commercial side. So that will be the focus. There is growth out in the markets. You saw those loans and advances were up 5% last year for us, so there is no lack of volume appetite out there. And indeed with many of the markets which we're operating, they're clearly coming through COVID earlier than some other markets in the world. So I hope we will be able to shift some of that from the lower-return part of the balance sheet to higher returning, and that will be part of the income story for the year and indeed thereafter.
Fahed Kunwar: So it's [indiscernible]. That's included though, in the 7% RoTE out to 2023.
Andrew Halford: Yes, it is. Yes, it is, absolutely. There are many component parts, but yes.
Fahed Kunwar: Thank you.
Operator: Thank you. The next question comes from the line from Ed Firth from KBW. Your line is open.
Edward Firth: Yes, good morning everybody. Can I just bring you back to a sort of slightly broader question not so much this year but more out to sort of 2023 and beyond? Because when I look at your key dynamics at the moment, I mean, your capital ratios are towards the low end of peers. Your growth prospects, you're signaling at really high end of peers, probably off the top end at the high end of peers. And yet your profitability is at the low end. And yes, we're trying to square all that at the same time as talking about buybacks. And I really don't understand why this obsession with buying back shares when you -- if you really believe you can deliver 5% to 7% growth -- and I accept we can play around with the risk-weighted assets and stuff, but if we are coming out of a pandemic and there's massive growth opportunities and you're in -- right in the center of it, why would you risk missing that in order to buy back 250 million of shares or whatever?
William Winters: Good one, Ed. Thanks for the question. I think, first of all, I -- our capital is not at the low end. I think, if you look at our capital relative to our regulatory minimum, we are sort of middle of the pack and very well capitalized. We certainly think we're very well capitalized. And when we look at the -- at certainly the stress tests that were done pre pandemic, our peak-to-trough drawdown is extremely manageable relative to either outright or relative to peers. So we're not low capital. Second, yes, our profitability is low. And we've talked a fair amount about the reasons for that being our relatively leveraged business model with the significant challenge that we had in income and obviously loan impairments or loan provisioning during 2020. We can grow our way out of that as we have in the past. And -- but we are sitting on a low level. We're not obsessed with buybacks. Maybe some people are. We're not. We have excess capital right now. We've got a very -- we have maintained a very healthy investment program up to through and including the fourth quarter of 2020. We did that because we do believe in our businesses, but we believe that the investments that we are -- that the investment program that we're executing right now is the appropriately sized program for both what we can absorb, also what we need to do and what we want to do. And we've always said that, if we have investment opportunities that are -- that present themselves that would require an increase and they are truly attractive, then we'll do that. And that will come at the expense of buybacks or other distributions. We've equally said that, once we've satisfied the need to fund the growth in our business, that the surplus, we'll return to shareholders. We're absolutely committed to that. We've demonstrated that, and we reaffirm that both in action in terms of our proposals for the final dividend in 2020 and in terms of our statements. So you've heard both from me and Andy. So that's there's nothing that's really changed in that regard, but I think overall, yes, we're very comfortable with our capital position. We're comfortable we've got a good plan to deal with our profit challenges. Well, I guess you also mentioned that we've got growth that's ahead of peers. That's because we're in much more attractive markets than I think the people that you are thinking about when you talk about peers. Obviously, if you look at the -- our peers in our markets Asia, Africa and the Middle East, then the growth forecasts that we're showing are probably consistent with what you're seeing from others in those markets. And we think that we have what it takes to deliver that kind of growth rate.
Edward Firth: It just seems to me that, if you're going to deliver 5% to 7% growth in a sustainable manner, it's absolutely imperative for you. It's not like an option to get to 10%. If you can't, then you're not going to be able to generate enough capital to support it.
William Winters: Yes, that's right. That's right. And as Andy pointed out a couple of times, frankly, up until the point of the pandemic, we were growing 5% to 7%; and also having come off of a pretty fundamental transformation, where sometimes it's a little bit harder to grow when you're coming in the position we went through. That transformation is very well embedded at this point. The investments that we've been making in productivity, investments in digital tools and digital capabilities are very well established at this point. So we feel more comfortable about our ability to hit sort of market norms in terms of growth than we have at anytime in the past, yes. You have to have some sort of macroeconomic support. I -- but hopefully, we can avoid and we can get out of this pandemic and not go into the next one. Hopefully, we can avoid the kind of geopolitical tensions that we were afraid of last year that looked like it might derail our business growth. And as it turns out, it didn't, but it might have. So yes, we'll need an avoidance of headwinds. We can put it that way. We don't actually need a big tailwind relative to what we've got right now.
Edward Firth: Okay, thanks very much.
Operator: Thank you. The next question comes from the line from Joseph Dickerson from Jefferies. Your line is open.
Joseph Dickerson: Hi guys, thank you for taking my question. Most have been addressed already, but I guess, if you're looking for growth in the Financial Markets and, it sounds like, possibly growth in Wealth Management, particularly if bancassurance can pick up, and if I'm not mistaken, a large factor there is border between Hong Kong and China being closed presumably, I guess, are you more cautious on the transaction banking outlook to get you back to the flat revenue growth given that the NII looks like, based on your guidance for the full year, that we can get you to kind of flat $6.9 billion without assuming any higher margin on the incremental growth? So that's, I guess, the first question. And then the 13% to 14% range on targeted common equity Tier 1 versus your base requirement of 10%. I guess, why couldn't that be 100 basis points lower, particularly given you're sitting here with a 31% MREL? And it sounds like you've got a bit more visibility on where Basel III lands. Are we waiting for the Basel III refinements? Or is this going to be a longer-run target? Or do you kind of need that level, to prior question, to absorb the growth you're going through while the ROE is still subpar?
William Winters: Maybe I'll just offer a quick comment on the growth question, and Andy will have more on the growth as well as the capital. The -- if we look back through the years, the wealth management product line has been able to deliver growth in the high single digits or low double digits level. It's been quite volatile around that, including for the reason that you mentioned. Bancassurance took a big step back really for two reasons: one is the Hong Kong-China physical border being closed; and second, the need even within Hong Kong or within Singapore or Taiwan for medical checks. And people were -- for all the obvious reasons, were reluctant to get medical checks during the COVID period. That's beginning to return. So we're seeing some pickup in bancassurance actually. The Hong Kong-China border remains closed, although I -- we haven't talked much about the Greater Bay Area and the opportunities there, but the opportunities that are presented to us to take our strong position in Guangdong province, Shenzhen in particular, and our strong position in Hong Kong; and to capitalize on what seems to be a pretty well-established trend now in China of opening up the capital account, opening up the border for cross-border investments and then eventually obviously opening up the border for physical travel is extremely encouraging and particularly encouraging for our wealth business, where we're just sort of in an excellent position on both sides of the border, especially as Chinese savers are able to perfectly legitimately invest more in international assets or international funds, which is our sweet spot. And frankly, we've been preparing for this for the better part of six, seven years in terms of having a very strong brand in China for international investment product, which has largely been unsatisfied for the reasons of the currency controls that are in place. So to the extent that this is not a problem in the coming year, that's an underlying very strong source of growth. Financial Markets, I will try. I got what your question was really, the -- but maybe -- Andy, maybe you can take a stab at that. But certainly we have opportunities to structurally grow our FM business, but it's going to be volatile from quarter to quarter and with an element of seasonality as well. Andy?
Andrew Halford: Yes. I think you were circling around, if Financial Markets, Wealth Management look strong, but the overall is going to be sort of flat, then does that imply transaction banking, et cetera are going to be lower. I think the reality is probably...
Joseph Dickerson: That's right, yes.
Andrew Halford: Because not least, as I said earlier, in Q1 we have this huge NIM normalization still going on; and particularly in the first quarter, going from low 1.50s to low 1.20s. It's a near-20% reduction. And therefore, the interest rate-sensitive products will be the ones that have yet to come some way down the curve. When we're through that and particularly by the half year, then hopefully, we are more normalized on year-on-year comparisons, but that is the reason for that. On your question on the sort of capital levels, it's sort of an interesting one. The 13% to 14% is a range we've had for a period of time. We're obviously at the top end of it at the moment. If you compare us with U.K. banks, which isn't necessarily the best point of comparison, but if you do, we are around 4 percentage points above the declared regulatory minimum. That is very much in the pack. Most of the other U.K. banks are in that sort of range, so it's not abnormal. The reason that everybody does sit that much above it is because there's a variety of factors go into decision as to where one should target to be on the capital front. Some of it is what the regulators are requiring. Some of it is what rating agencies are requiring. Some of it is what we feel comfortable with stress tests and so on taking the external environment into account we are comfortable with. And I think, at this point in time, clearly COVID has worked its way through in a sort of substantial way but not yet a complete way. We've said to be back in the 13% to 14% range is where we want to be rather than sitting above it, so I think that gives you a pretty strong indication. We are very mindful of the fact that, the more we can work to the lower end of that range or even below it, it will be great for the RoTE. And that point is not lost upon us. So that's sort of how we look at it, but -- the 13% to 14% range at the moment. And at some point in time, if we get to the lower end of that range, that would be great.
Unidentified Company Representative: Bill, we're moving on to questions from the webcast then. There are actually questions on similar sustainability things, so let me try and condense them into one. The climate crisis is devastating hundreds of communities around the world, so what steps are you taking on climate change generally and in particular in relation to financing possible fuel activities?
William Winters: Yes. Well, it's just a huge question and one that I'm very happy and very, very proud of our answer. And we have been clear that we will -- that we are on a transition path to get to net zero by 2050. The work that we've done in terms of our scope one and two; and our controllable scope three emissions, so for example, flights, is -- has already had substantial improvements. Even independent of the COVID effects, we made tremendous progress. And we will almost certainly be acquiring carbon assets to get to net 0 for our scope one, two and controllable scope three emissions in the not-too-distant future. The big one is financed emissions. And that really gets to the point of the question, which is climate change is in some cases already devastating the communities in which we operate. And certainly we'll have to save the planet if we don't get this right over the next 20 to 30 years. I mean we need to begin now and make real progress by 2030 to have any hope of getting to an acceptable outcome by 2050. As I mentioned earlier, we've got a -- we have been on the path to net 0. And we've been on the path to complete alignment with Paris [ph] for several years now, started with our cessation of all financing of coal-fired power plants or the coal industry itself. It goes on to the very clear statements we made and discussions we're having with our clients that they will need to basically straight-line reduce their dependence on coal between now and 2030 in order to continue banking with us. There's some question, when we began that process, whether there'll be a big income hit or we can end up exiting a lot of clients who just seem aren't willing or unable to accommodate them. I think the possibility that some of our clients will be unwilling or unable, of course, is there, but the vast majority of our clients have responded by saying, yes, we know we have to reduce our dependence on coal if we're ever going to have to reduce our dependence completely over time. And we know that fossil fuels will be the next -- other fossil fuels will be the next to come. Can you work with us on developing our alternatives either business models or manufacturing processes or sources of power that will allow us to meet the -- our own net zero position plans? And that's -- there's a challenge in there. There's also great opportunity because every one of those -- transition through one of our clients is a financing opportunity in an area where we have real competitive advantage globally, I will say, but in particular in emerging markets. So we share the objective of the questioners to get to a net zero planet by 2050, and we're absolutely committed to that. We're committed to delivering a very detailed road map for how we're going to get there between now and 2050, with clear milestones along the way. We will be sharing that over the course of this year, in the later part of the year. And we're talking now with our shareholders about how we can put that plan to a shareholder advisory vote at the 2022 AGM so that we can both hold ourselves, but also hold our owners to account for holding us to account to deliver on our commitments.
Unidentified Company Representative: Thank you, Bill.
William Winters: So if there are no more questions, then thank you, everybody, for joining us. And first thing in the morning on Thursday, in London, Andy and I are sitting in the boardroom of 1 Basinghall Avenue, happy to be back, looking forward to being back here a little bit more regularly with our colleagues and looking forward to having a chance to meet with all of you face-to-face in the time to come. Please stay safe and healthy. Bye.